Operator: Greetings. Welcome to American Resource Corporation Second Quarter 2021 Conference Call. At this time all participants are in listen-only mode. Question and answer session will follow the formal presentation.  Please note this conference is being recorded. At this time, I'll turn the conference over to Mark Laverghetta, Vice President, Corporate Finance and Communications. Mark you may begin.
Mark Laverghetta: Thanks, Rob. Good afternoon, everyone. On behalf of the American Resources Corporation, I'd like to welcome everyone to our second quarter of 2021 conference call and business update. We welcome this opportunity to not only discuss our accomplishments over the past quarter and first half of the year, but also on where we have our sights set as we continue to embark on this exciting time. Also on the call with me today is Mark Jensen, American Resources Corporation's Chairman and CEO; Kirk Taylor, our Chief Financial Officer, and Tom Sauve, our President.  Before we kick it off, I'd like to remind everyone that this call is being recorded, and other normal cautionary statements. Certain statements discussed on today's call constitute forward looking statements within the meaning of the Private Securities Litigation Reform Act. This forward-looking statements are subject to risks, uncertainties, and other factors which could cause actual results to differ materially from the results discussed in the forward-looking statements. When considering forward-looking statements, you should keep in mind the risk factors, uncertainties and other cautionary statements which are laid out in our press releases and SEC filings. We also did not undertake any obligation to update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. Also, we will be holding a Q&A session today following our prepared remarks. And for anyone wanting to ask a question, you'll need to dial in 7 to get into the queue. With that said, I'd like to turn it over to Mark Jensen. Thank you.
Mark Jensen: Thanks Mark. And thank you all for joining today's call. I am excited to tell you and give you some updates on our business a business that is not only disrupting the legacy industry but also transforming new industries that in the domestic market, especially focusing on the Rare Earth element component of the business. The second quarter 2021 in the first half of this year, we continue to show material execution in terms of positioning of American Resource at low cost, supplier of raw materials, city infrastructure, and electrification marketplace. We've showcased our ability to innovate our industry and after basin position, and be positioned really well to supply the high growth markets, and highly aligned to the U.S. priorities that we've talked about, that we'll talk about here in the near future as well. Now that we'd be able to further define our technology chain, specifically capturing  processing and purifying Rare Earth elements in the most environmentally safe and in certain cases, environmentally positive ways ever developed, while also pushing aggressively to bring these innovative applications to the commercial marketplace. Furthermore, we have the opportunity to strengthen our balance sheet by adding over $30 million of equity capital and pull forward initiatives, which is also better positioning us to collaborate and execute with real commercial partners. And having the strength of a balance sheet will enable us to bring in these partners and showcase that we're a strong company and able to execute upon our business model. Before we dive into where we're at today, as a business, I think it's important to discuss where we came from. Since 2015, we've acquired over eight companies. We went and acquired these businesses at substantial discount, and we're focusing on acquiring the legacy and the assets that we can repurpose and reposition for the future markets. By doing so we're able to eliminate high legacy costs. And also reposition them for the future not only looking out for the next couple of years, but looking out for the next 10, 20, 30 years. As we see the United States in the domestic market transition away from coal fired power plants, we also see the demand for the metallurgical carbon. And as our business when we went in and transform to acquire these assets, we wanted to not only position ourselves to be the lowest cost producer of net coal for the next 10,20 years but we also wanted to be able to reutilize these existing assets and repositioning these, this existing asset base to provide significant value through our other divisions. More specifically, our American railroads division, which we'll talk about shortly. We're going to leverage that entire asset base in a streamlined focus, utilizing our existing team and building out our existing team to be able to execute across all of our business lines and be able to do so efficiently and effectively and timely. The American carbon division I'll discuss here first. As you see, throughout the news, there's strong strength within the steel and carbon markets. With the steel markets ramping up with an infrastructure plan in place, we're starting to see significant strength within the marketplace and significant demand that's going to start kicking in here shortly. That gives us the ability to pull forward some of our operations over the next couple of years, and really start taking advantage of the current strength in the marketplace. I don't think you can see a company within our sector that doesn't see strength within the metallurgical carbon division over the next three years. That being said, we also see that there is a number of our competitors that are still struggling because they're focused on the thermal coal markets which we see a significant continuing decline in. While at the same point, we're able to bring our metallurgical carbon operations back online, and start utilizing the labor force that is coming back into the marketplace as we see. Our Perry County division, as we ramp up and focus on the delivery of our outtakes, we're able to build, we are able to also build up inventory over the last several months, and position ourselves to be able to start supplying our customer bases in a very strong passion. In this quarter, we're able to start shipping our service to our customers, and also supplying excess carbon that we have on the ground while we started to prepare for our PCI shipment that are taking place this quarter. As we see, in the second quarter we had or the, we began shipping our metallurgical carbon business to our main stakeholders customers in August. And we expect those shipments to continue to ramp up and continue to ramp up over the next year as well to the existing customers. Additionally, our main base load customer exercise their right to expand the corporate carbon purchases off of us and add an additional 20% their annual contract. We're currently in conversations with a number of customers and having very good conversations and very good development to not only expand our shipments out of the Perry County complex, but also our McCoy Elkhorn complex. We anticipate bringing this complex on later this quarter or early fourth quarter, and continuing to expand this operation and our production from this operation over the course of the next 12 to 18 months. During the second quarter, it's not surprising that there was challenges in labor markets. And you can go to any restaurant to any commercial and industry group out there and everybody's struggling with the labor side. There is extended unemployment and there is additional benefits of being unemployment. This was a needed thing. We're not arguing against people needing the unemployment benefits, and they're there for a reason. That being said, as they start to unwind those benefits, we're starting to see a strong demand for the labor coming back into the workforce. And that's benefiting us greatly in this time of growth and expansion that we're getting ready to exercise over the next 12 months. And we're starting to see a really good labor force come back to us, and enabling us to not only expand our production, but also expand it in the next 12 to 18 months as we continue to ramp up. Given the staffing issues, we are effectively a quarter behind. And that's because when we went to ramp up, we were hiring people back in and it was a little bit of a slow start. That being said, we're sticking to guidance of 35 million to 60 million for this year, which given that quarter behind and giving the staffing issues that we had in the past, we're coming up. And we're starting to be well-positioned to generate cash flow from our American Carbon division, and continue to grow that cash flow over the future months and future quarters and future years. And having good access to a really, really good workforce a really strong workforce. Our American Metals division we've been ever getting metal, is really our focus in the last six months is to continue to build out our American Rare Earth division team to build out our American Carbon division and build inventory on American metal side. We anticipate continuing to build out these supply channels. We're currently interviewing and working with strategic partners to bring in house to expand this division with the goal of ramping it up to about $5 million to $10 million of revenue year-over-year and then over the next few years. It's a strong market, we see strong demand for metal, the electric arc furnaces aren't slowing down at all, they're actually expanding, and the ability to capitalize on this from our existing logistical footprint that we have that we own outright, is substantial. Our American Rare Earth division is extremely exciting on the developments that we've been able to build out here. As a reminder, as of this time of last year, we hadn't even announced this division. Now that being said, we've been building it out over the last four to five years. And if you wait passively for three quarters of announcements, you can see that we continue to define our technology base, our processes and also our partnerships. We've been able to develop, acquire, and invest in some of the strongest technologies within the space, which we define as our capture process and purified technology process chain. The goal of our technology process chain is not just to be able to produce or mined for Rare Earth elements. It's about taking the entire way through the supply chain to produce a purified and isolated Rare Earth element in an environmentally sustainable way that can actually be done in the United States cost effectively without subsidies. That being said with subsidies it's rocket fuel behind our division and there's many tax discussions taking place within the existing infrastructure bill that will enable that. Our Rare Earth division represents a strategic opportunity for us as a low cost sustainable supplier to the domestic supply chain to be able to be one of the only companies in the United States that can produce and purify Rare Earth elements. Again, with the passing of the infrastructure bill, there's significant funding on the supply chains for clean energy technologies. And we're in a great position and aligned with the national priorities. You read about it on a daily basis of the need for Rare Earth elements. But very seldom do you actually hear about the feedstocks or the support or the technologies that are able to process and purify them. We have those. We've been developing these with Purdue University on the capture side at Penn State University and on the process side with Texas Tech, with technologies we acquired from Ohio University. We believe this technology process chain package together, we'll be able to showcase in the next 12 months a plan that can be viable for the United States to be able to actually secure and have a domestic supply chain, and do it in a cost effective way.  The U.S. needs to lead the innovation in the space. We can't rely on solvent based extraction or liquid to liquid extracts. We need to focus on new technologies and new investment that can develop the supply chain in a low cost format. So at the end of the day, when China drops their prices, and China's going to do that, because they want to try to control the market we will succeed. And our business model and our feedstocks and our supply chain will enable us to do that. And we're going to showcase that. We're going to showcase that very shortly. The market demand for these materials is ever growing. The demand for electric vehicles, for windmills, for electric motors, in general, for the batteries for the electric motors, to be able to produce and purify and isolate Rare Earth element or critical elements on the domestic supply chain in a cost effective way will be a game changer. And we're confident in the success of our technologies. And you'll hear us talk about that over the next two to three months on the proof is in the pudding. We will showcase that we can execute and will execute to be able to produce these elements at a cost effective, in a cost effective manner on the domestic soil. Our process and purification methods eliminate the need to rely on China. These are the final steps in the processing and purifying of the Rare Earth elements. It's not done in the United States at all today. And there is no other technologies that we believe can compete against ours. Our electrolysis, technology or process technology we've already provided the update that we are in the build phase of our two kilowatt mobile electrolysis facility where we've actually built a one meter cell that we have designed and built utilizing our partners down at Texas Tech to be able to process fly ash process, fly ash utilizing byproduct economics. When people talk about Rare Earth elements, the ability to produce them in a cost effective way is a huge deal. There is Rare Earth elements aren't rare. But can you monetize the process and our electrolysis technology does that. It enables us to purify fly ash so we can sell off to the concrete market, which is a huge demand because of the need for infrastructure today where we can actually make money in the process. When we're building something very seldom can you make money in that process? We can make money in the building of our feedstocks, by selling the fly ash producing hydrogen selling it back to the utilities and pulling out in the anode our Rare Earth elements and then bring those to our chromatography facility where we can process and purify them.  Our purified technology, our chromatography facility that we are in the final stages of site selection and moving forward into the build phase are in the design phase of our facility. Our goal is to finish this facility, build a small scale facility be operational in early 2022. And have the ability to continue to scale that facility on a commercial basis being the only and first commercial scale processing facility where we can purify and isolate Rare Earth elements. Our team that we built on the chromatography side is extremely impressive. The experience that they have in the space, and the leadership that we have on this division is second to none. The development of our distribution channels and aggregation points for end of life products to be recycled is continually building having $30 million of cash on the books and having the growth of our American Carbon division and a cash flow positive basis of balance in this year will give us the ability to continue to expand and focus on bringing in these distribution partners on the upstream and downstream components, were we're sourcing the waste product, sourcing the lithium ion batteries to be recycled, sourcing the permanent magnets which we already announced a distribution arrangement with one of the large windmills in Indiana on the waiting between Indianapolis and Chicago if you're ever in the area, drive up there and see these wind farms. These generators we have the access to pick up these generators, strip out the magnets, recycle them, and produce purified isolated Rare Earth elements with a 36% concentrate. There is nobody else that is looking at feedstocks with that level of concentrate that is able to acquire them, dissolve them, and purchase and purify them in a very cost effective way. We can do that today. We can do that utilizing our electrolysis or electrolysis concept on the upstream, and then our chromatography facility to purify and isolate them. The market for end of life products and recycled basis continues to grow exponentially. There's over $3 billion of permanent magnets that are going to landfills in the United States alone year-over-year. That represents a huge market to utilize our chromatography facility to be able to start keeping these out of the landfill, recycling them breaking them down and producing purified isolated Rare Earth elements to be turned back into new permanent magnets. The growth of permanent magnets is not slowing down. It's growing well over double digits a year and there is no other place to source them other than China today. Over 90% of the Rare Earth elements come from there. As we start to recycle these magnets, we're going to be able to grow this business substantially as we work with our distribution partners on the upstream side of it to source these magnets to be able to recycle them very cost effectively. We believe our innovative processes will have a very meaningful component on the domestic Rare Earth supply chain. We believe that because the proof is in the science, our technology partners have been building this out for years. And we're our capital behind it and the processes that we're putting in place to run this as a business and be able to scale this year-over-year is significant. And we're going to start showcasing now as we continue to announce our execution over the coming months of how we're building out our process chain. As we dive into this, let's go through our upcoming catalysts and we have some, we're excited about where we're positioned. I don't think we've ever been better positioned as a company than we are today. We're going to continue to show execution of milestones on the American Rare Earth division on their processing and purification, development and commercialization, our chromatography and electrolysis technologies. We're going to continue to announce the execution on both of those funds. Securing additional collaboration agreements on sourcing partners for the Rare Earth element end of life materials and feedstocks. At the end of the day, if we're able to source these products cost effectively, which we're confident we can because we've already started doing so we're going to be able to recycle these and get these back to market very quickly and very cost effectively. We're going to continue to announce some key appointments on the American Carbon division as we continue to build our production teams and enhance our production teams to further mitigate future labor challenges. At the end of day, forecasting the labor shortage, forecasting that we're going to compete  against the government was something we didn't perceive. That being said, the strength of the company we are able to overcome that. We've already started overcome that in a meaningful way, a very meaningful way to continue to ramp up our production over the coming quarters. We're confident in our ability to announce additional metallurgical carbon offtake agreements based on customers that we are already in very in depth conversations with very attractive prices. On the monetization side of our business on the equity value side is formalizing a staff target. We announced our staff, we close our staff, we have over $106 million in trust. And we're very pleased with the level of targets we're seeing and the conversations that we're having on that front to continue to drive that forward process to create equity value for our shareholders, and then post these back merger dividend outs that we shares over to our investors. The value creation initiatives, including, as I mentioned, the American acquisition opportunity, the fact that we announced, we believe it's significant to our shareholders, but at the end of the day, it's about executing and about proving out the contract and we're confident we're going to be able to do so. As I mentioned, we have $106 million in trust and the level of targets we're seeing because of the focus of what we're looking for we're looking at that old world industry transitioning to new world opportunity. And that positions us in that ability to capitalize on cash flowing opportunities to continue to drive equity value for all of our shareholders. We're currently working through that destacking process and we're looking at a number of very high quality targets that we believe will have great opportunity for additional asset appreciation for our shareholders. Ultimately, we believe that AREC that our shareholders of AREC will get the benefit and the value creation that is not currently being reflected in our market value today. Our Noble License Agreement, we announced we had the great opportunity to sublicense two of our graphene and carbon nanotube patents to Nova  we ended up as part of that we received 50% of the company and also an operating cash flow sweep of about 50%. Nova seriously is currently working through the capital raising process in the public market process. We're very pleased with their progress and very pleased with the team and opportunities and way they're looking at opportunities to continue to expand that component of the business. Graphene is an extremely exciting business and giving it to a company and partnering with a company that can take that to monetization as we focus on our Carbon and Rare Earth divisions is a big deal for us to continue to drive value for all of our shareholders. Ultimately, we believe both the staff and the sub license agreement are examples of how our management team and how our board is looking at benefiting our shareholder value and focusing on shareholder value, utilizing our skill sets and our capabilities to drive equity value for our shareholders in a way that is accretive and efficient. I'd now like to turn our call over to Kirk Taylor our CFO for some additional comments in our financials.
Kirk Taylor: Thanks, Mark. Thanks again for everyone's time this afternoon. Q2 saw a resumption of coal sales with very strong pricing as well as royalty income from strategic partnerships we've developed over the past year; another example of us driving value to capitalize on the strong market, we're seeing in high demand for the products within our portfolio. During the second quarter, we further strengthened our balance sheet by raising $30 million of equity capital. As a result, our balance sheet sits and our cash position sits at a very stable and strong position for us to capitalize on opportunity that we see in front of us. Right now, our amortizing debt balance sits at approximately $19.3 million, of which $13 million worth is in the form of convertible notes. $2.7 is in the form of outstanding PPP loan, which we are currently working with the SBA for the forgiveness process. The rest of the remaining outstanding debt is held by long term partners of the company who desired to see long term growth as we had fewer opportunities. Shares outstanding today sits 16,063,483 all Class A common shares. We again have very clean capital structure policy for the second half of the year. Cash on hand at the end of the second quarter was approximately $28.1 million again, the most capital we've ever had execute on our growth plans. During the quarter, we've reinvested in our operations and our efficiencies investing little over $700,000 in processing equipment for both our carbon industry as well as our Rare Earth and critical element divisions. We're working with our university and technology partners to give them the tools to materialize the vision we have for our critical element division. Our company, our balance sheet, our customers, our capital structure, currently now sits at their strongest position we've ever had as a company. We're now able to be more flexible and more nimble and innovate and seeing our growth plans across all divisions and take advantage of the opportunities that are ahead of us for the second half of the year. With that, I'd like to turn it back over to the moderator to begin the Q&A portion of this call.
Operator: Thank you. We will now be conducting the question and answer session.  Our first question comes from the line of Steven Segal with KBB. Please proceed with your question.
Steven Segal: Hi, can you give me, give us an update on the fly ash stamping program and any preliminary results you've attained with that so far?
Mark Jensen: Yes, hi Steve. Thanks for your question. Our fly ash. So fly ash is process utilizing our electrolysis technology which was acquired from Ohio, further developed by Texas Tech. We sponsored research at Texas Tech to build out our one meter cell which is a unique design that enables us to take this to commercial stage. As we mentioned, we've went on a extensive fly ash sampling program, not only sampling, but also processing and taking that fly ash down to Texas Tech while we're building our two kilowatt facility that'll be a mobile facility able to go to different sites. The purpose of that is test event that running at the bench scale labs and then showcase the high quality fly ash that can then bring our mobile facility to those facilities and then ultimately build permanent facilities there. It's going extremely well. The one meter cell is in the final stages of development. They've already started talking in the machine  on the build side. But what's really unique about it and this is very preliminary results, but we've had phenomenal results on stripping out Rare Earth elements and also decarbonizing the fly ash. There's over a billion tons of fly ash sitting in landfills today throughout the country, not only -- not only but looking at countries about a billion worldwide, exponential. And the need for fly ash, for concrete binder within Portland cement is a big deal. And there's a shortage because utilities are shutting down. The ability to go in there and monetize that entire process is going extremely well. We've had good really good initial results, and pulling out a very high concentrate of Rare Earth elements from the fly ash that we've sampled today. We're going to continue to run the sampling program to make sure we continue to get these existing results as we build this mobile facility, we'll have three to four locations where we can immediately deploy it to bring it to that commercial stage, but overall we are extremely pleased by the progress of it as well as the success of it.
Steven Segal: Thank you.
Mark Jensen: Thanks Steve, appreciate you.
Operator: The next question comes from the line of Kyle Elgar, a private investor. Please proceed with your questions.
Kyle Elgar: Yes, hey, thanks guys, do you got me?
Mark Jensen: Yes we do. Hi, how you doing? 
Kyle Elgar: Good. Good. How are you guys? Appreciate the call. Just hoping you could maybe give a little color. I know you talk a lot about the Rare Earth elements. I understand that this is all in the story. But kind of turning back to the net carbon. On your guidance on revenue guidance, I just want to make sure I heard a couple of things correctly. How should we think about that? Should that be back loaded more towards Q4? And then as far as profitability goes did I understand correctly in the call I think you said something Mark that was you guys expect to be profitable for the balance of the year? Is that correct? Or is that solely for the American Carbon division and not the company as a whole?
Mark Jensen: Yes. So I mean, it will be as we ramp up it's a good question. So how mining for net carbon works is you bring on a new section and or you bring on a new mine. And it's relatively quantity growth, meaning that it's as you bring your mind on you generate. So say, for our current Carnegie complex, for example, as we bring Carnegie 1 online, that'll ramp up to about $30 million in revenue on its own, just from that one mine. Now, that being said, as you bring it online, you start to see that growth, that revenue step up pretty quickly. Perry County, we have one walking super section running we have our second walking super section, which is in the final stages of development, that's a similar type revenue growth. So it's a pretty big stair step. As you see these mines and ores sections come online. So it will be, you'll see growth in the third quarter and you'll see pretty extensive growth with the McCoy complex coming online in the fourth quarter. And then leading in on a run rate basis, by the end of the fourth quarter, we're going to be in a really, really strong spot. From the free cash flow perspective, we anticipate being profitable over the fourth quarter and the second half of the third quarter. And that feels pretty aggressively based on some of the investments that we're making into the complex. And if you look at it having the available capital, we've invested heavily into our processing facilities. We've invested heavily into all of our divisions. Now the Rare Earth component of the business is more about commercializing the technologies. And it's about capital development costs. So it means when it's we're developing those divisions, we're investing in those divisions, we're building out facilities. And that'll be most of that will be capitalized but it doesn't take as much money is it takes brainpower and having a team like Bill Smith, 30 years and Eli Lilly running chromatography facilities we just brought on a gentleman named Jeff Peterson. He's an absolute rockstar, doing a phenomenal job in the first month or so of working with us that it's about putting that brainpower together with our science team to build out these facilities and they're not that expensive facilities to build. We're staying away from our grants, we're trying to leave those grants to our universities, but on the development side once we build these facilities and start operating them, and we do anticipate they'll actually cover costs and be able to do so profitably. But it's not a huge labor intensive business to build out. So I believe that the American Carbon division will be profitable. I don't think the balance of the business is actually going to utilize much capital and I think we'll be able to actually build our cash balance by the end of this year and start building that cash balance and growing that cash balance.
Kyle Elgar: Awesome. Thanks so much, guys. Appreciate it.
Mark Jensen: We appreciate you.
Operator:  Our next question is from line of Mike Sibley with private investor. Please proceed with your questions. 
Mike Sibley: Yes, Mark. Great call Mike from Valparaiso, Indiana,  wind turbines is 65. But my question is your projection on who would lead the U.S. manufacturing EV electric vehicles in the next two or three years? You see leading the market in the U.S. 
Mark Jensen: Let me make sure I understand your question correctly leading in terms of the what vehicle company or –
Mike Sibley: Yes manufacturer, taking the lead in EV electric vehicle manufacturer in need for batteries? 
Mark Jensen: Yes. I mean, I would say it's a good question Mike and if you look at the automotive sector as a whole, pretty much every major automotive company out there has announced an EV program with substantial build out by 2030 or 2035 and some of them even point forward than that. From a demand side, as we mentioned, upstream and downstream. Upstream is about sourcing our, the feedstock for supplies that that'd be fly ash, that'll be permanent magnets that we're recycling, that will be lithium ion batteries from the actually the critical element side of it, but also the rear element side of it. Going after those really, really high value feedstocks. Now then on the downstream side is partnering with the supply chain to bring that back to the domestic market. So today, the automotive companies are buying electric motors that are produced based an electric magnet utilizing electric magnets that are all produced overseas. So it's working with the automotives and we've had good conversations with some automotive companies with regards to building out that supply chain, and we do think it's going to come back to the domestic mark. I mean, there was the tax bill they're talking about, is to produce Rare Earth magnets in the United States, and offer massive subsidies to do so. Now, that means they're going to be able to pay a higher value for the Rare Earth elements going into those magnets. And you're going to start to see that supply chain come together. We don't need the subsidies. Our business model was not built on subsidies in any of our divisions. That being said, if they're there, we're going to benefit from them in a big way. But at the end, ultimately, it's what automotive company cares about the environmental footprint of what they're putting into their vehicles and the end of the day, those automotive companies are starting to open up their eyes to that. And that's going to be a big deal as they start to put out electric vehicles thing, we didn't sources from China, we sourced this from the United States and environmentally sustainable way versus just using acids and massive leech ponds all over China to produce these. We don't have to do that. And so it's but at the end the day who's going to lead I think they're all going to , they're all driving forward in a pretty aggressive pace. And I don't know who's going to win that race. But I think they're all going to be there around that 2030 to 2035 timeframe.
Mike Sibley: Good. Excellent. Thank you.
Mark Jensen: And thanks, feel free to stop by our operations, your Valparaiso, we have some exciting things to see around this region in very short order.
Mike Sibley: Yes, thanks for driving by. I'll take you up on that.
Mike Sibley: Perfect, thank you.
Operator: Thank you. We have reach into the question answer session. I'll now turn the call over to Mark Jensen for closing remarks. 
Mark Jensen: Well I want to thank all you for taking your time out of your day to let us update you on progress of our business. We have never been more excited about where we're at as a business than we are today. Not only on the American Carbon division, also the American Metals division and the American Rare Earth division, we have the opportunity to showcase a business model that is not only repurposing and disrupting legacy industries, but it's innovating for the future. It doesn't happen without a team. And we're going to continue to build out that team with really strong professionals, and really strong people on the ground in Kentucky and in Indiana and also in West Virginia and our Wyoming County complex. We're very thankful for all of our shareholders. We are shareholders first. Management team has never sold share stock. We've invested more into the company and we're excited to do so. We're excited about our future and we know that at the end of day every company has an, every investor has an opportunity to look at any company. But I can promise you that our management team is dead set on performing and driving value for all of our shareholders, and continuing to grow this business to be successful and showcase that the United States can go head to head on technology against any other country to produce the elements but also to produce net carbon at a very, very cost effective business model. I thank you all for your time and look forward to continuing provide you additional updates on our growth of our business and success of our business. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.